Operator: Thank you for holding and welcome to the Titan Pharmaceuticals’ Second Quarter 2015 Financial Results Conference Call. At this time, all participants are in a listen-only mode. There will be a question-and-answer session following today’s remarks. Please be advised that this call is being taped at the company’s request and will be archived at the company’s website starting later today. At this time, I would like to turn the conference over to Sunil Bhonsle, President of Titan Pharmaceuticals. Please go ahead, sir.
Sunil Bhonsle: Thank you, Lisa and thank you all for joining us. Welcome to the Titan Pharmaceuticals call to review financial and operational results for the second quarter of 2015. Before we begin, I wanted to inform you that on August 13, we filed our second quarter 2015 Form 10-Q with the SEC and the press release issued that same day provides a summary of the results and can be found on our website at titanpharm.com. Joining me on the call today from Titan are Dr. Marc Rubin, our Executive Chairman; Dr. Kate Glassman-Beebe, Executive Vice President and Chief Development Officer; and Brian Crowley, our Vice President of Finance. Before we get into the details of the financial results and provide an update on the company, I want to remind everyone that certain matters we will discuss today, other than historical information, consist of forward-looking statements relating to, among other things, our expectations concerning our financial results, available cash, development programs, partnering arrangements, regulatory strategies and business plans. Forward-looking statements are not guarantees of future performance and are subject to a variety of risks and uncertainties that could cause actual results to differ materially from the results contemplated by the forward-looking statements. These risks and uncertainties are described in our Annual Report on Form 10-K filed with the SEC. You are cautioned not to place undue reliance on these forward-looking statements, which speak only as of today. We undertake no obligation to update or revise the information provided in this call, whether as a result of new information, future events or circumstances or otherwise. So, as always, let’s start with an overview from our Executive Chairman, Dr. Marc Rubin. Marc?
Marc Rubin: Thank you, Sunil and hello everybody. Thank you all for joining us today. We are very pleased today to provide you with an overview of our activities in the second quarter and to discuss the development of our pipeline of product candidates based on our ProNeura long-term drug delivery technology. As many of you know, during the second quarter, Titan and our development and ommercialization partner, Braeburn Pharmaceuticals, reported positive top line results from Pro-814, the final Phase 3 trial of our subdermal implant, Probuphine for the long-term maintenance treatment of opioid addictions. We were of course very pleased with these results. The study met the pre-specified primary endpoint of non-inferiority as well as all secondary endpoints. Preparations for the NDA are progressing rapidly and its resubmission to the FDA is expected in the third quarter. Probuphine, as you know, remains under priority review with the FDA and could potentially be approved in early 2016. If approved, Probuphine would be the first commercialized treatment for opioid addiction to provide continuous around-the-clock levels of buprenorphine for 6 months following a single treatment. As a proprietary subdermal implant with patent coverage in the U.S. to 2024, we believe Probuphine has several advantages over the daily-dosed formulations of buprenorphine. And as you know, new treatments that are safe and effective are critically needed for patients, their families and healthcare providers. Dr. Glassman-Beebe will share with you the specifics of the trial results as well as greater details on the development of our pipeline momentarily. We continue to believe that the successful development of Probuphine to-date provides a strong validation of our ProNeura platform. The Board is very pleased with the progress of Titan’s product development programs and we see great potential in ProNeura for treating a variety of diseases, diseases that require chronic treatment and that may benefit from non-fluctuating levels of medication in the blood over extended periods of time. We are aggressively advancing our development plans for ProNeura-ropinirole for Parkinson’s disease and we are on target to submit briefing materials to the FDA in the fourth quarter of this year to support a pre-IND meeting. We have also made progress in evaluating additional compounds that have the potential to be delivered via the ProNeura implant. And finally, as you know, just a reminder that we have our Shareholders Meeting scheduled for next Monday, August 24. And I will now pass the call back to Sunil to review the financial results of the second quarter 2015. Sunil?
Sunil Bhonsle: Thank you, Marc. Next, I will provide you with our second quarter financial results, following which Dr. Glassman-Beebe, will update you on the development activities during the quarter. We will then open up the call for your questions for the Titan management team. For the financial results, total revenue in the second quarter of 2015, were approximately $0.8 million compared with revenue of approximately $0.9 million in the second quarter of 2014. Both the second quarter 2015 and 2014 revenues consisted entirely of license revenue and reflect the amortization of the upfront license fee received from our partner, Braeburn Pharmaceuticals, in December of 2012. Total operating expenses for the quarter ended June 30, 2015 were approximately $1.9 million compared with about $1.5 million in the same quarter last year. The increase of approximately $0.4 million in total operating expenses during the second quarter was driven primarily by higher research and development expenses, which totaled approximately $1.1 million compared with about $0.7 million in the second quarter of last year. This increase was associated with external and internal development expenses related to the support of Titan’s Probuphine and the ProNeura-ropinirole product development programs and other R&D expenses. General and administrative expenses for the second quarter of 2015 and 2014 were approximately $0.8 million and $0.7 million, respectively. In reality there was only about a $40,000 difference between the two quarters. Net other expenses for the second quarter of 2015 were approximately $1.2 million compared with about $0.3 million for the same period in 2014. Net other expense consisted primarily of non-cash losses on changes in the fair value of warrants. Net loss for the second quarter 2015 was about $2.3 million or $0.02 per share compared with about $0.8 million or $0.01 per share in the same quarter in 2014. At June 30, 2015, Titan had approximately $11.5 million in cash, which the company believes is sufficient to fund planned operations into the fourth quarter of 2016, not taking into account the potential of $15 million milestone upon approval of Probuphine. Now these financial results were as expected and as you know, the positive top line results of the final Phase 3 trial of Probuphine mark an important milestone for Titan. And we are continuing to work closely with Braeburn in preparation for the resubmission of the NDA this quarter and also as we prepare for potential commercialization next year. Our Parkinson’s program is well underway and we are enthusiastic about the important role ProNeura could potentially play in treating this devastating disease. We are also evaluating additional compounds that could potentially benefit from delivery via our ProNeura platform and we hope to add another product candidate to the pipeline in the next few months. We look forward to providing updates as we make progress. Now to provide you an update of recent development activities, let me turn the call over to Dr. Glassman-Beebe. Kate?
Kate Glassman-Beebe: Thank you, Sunil and hello everybody. I am pleased to provide you with some additional details on the development of our pipeline of product candidates based on our ProNeura technology, including our late-stage candidate, Probuphine, as well as our ongoing work developing ProNeura-ropinirole for Parkinson’s disease. Following the announcement in June of the positive top line results of Probuphine for the long-term maintenance treatment of opioid addiction, we continued to work very closely with our partner, Braeburn to integrate the clinical and CMC information into the NDA document and to complete the full regulatory preparation activities of the Probuphine program leading to the resubmission of the NDA to the FDA during this quarter. We have also completed the remaining activities associated with the validation of the manufacturing process. And our contract manufacturer, DPT Laboratories is ready for commercial manufacturing of Probuphine. As we mentioned, the final Phase 3 double-blind, double-dummy clinical study of Probuphine met the pre-specified primary endpoints of non-inferiority as well as all the secondary efficacy endpoints. Analyses conducted according to the pre-planned statistical analysis plan indicated response rates of 96.4% for the Probuphine arm and 87.6% for the sublingual buprenorphine/naloxone arm. Now, in order to further evaluate the observed numerical difference between the proportional responders in the two treatment arms, a sequential superiority analysis is conducted and that indicates a statistically significant difference in favor of Probuphine over the sublingual buprenorphine/naloxone treatment arm, the p-value of less than 0.05. The overall safety and tolerability profiles for each treatment group were comparable. The implantation procedures were also generally well-tolerated and comparable to observations from earlier studies with Probuphine. We believe the study design was robust and will provide a well-controlled evaluation of Probuphine compared with the current standard of care in these stable maintenance patients. The U.S. market for addiction treatment has continued to grow with prescriptions for buprenorphine products increasing by more than 12% last year and there are now three proprietary daily-dosed formulations on the market, along with a few generic versions. And also of note, there are three injectable, 1 month depot formulations in early to mid-stage clinical development, which further emphasizes the importance of long-term treatment in this chronic illness. Probuphine, with a 6-month treatment option, has the potential of being the first such product on the market. And if approved, we believe will become an important tool for combating the growing epidemic of opioid addiction. We are also very excited about our ProNeura-ropinirole program for Parkinson’s disease. In June, Titan presented non-clinical data at the 19th International Congress of Parkinson’s Disease and Movement Disorders demonstrating the potential of ProNeura in the treatment of Parkinson’s. The dose escalating study in a Parkinsonian primate model showed that motor function could be significantly improved if no onset of dyskinesias following the continuous non-fluctuating release of the dopamine agonist, ropinirole, which is contained in the ProNeura-based subdermal implants. We are now in the final stages of testing and fully characterizing the optimal formulation. During the fourth quarter, we expect to submit to the FDA the pre-IND data package that would support product development plan. Now, our goal is to initiate a clinical proof-of-concept study in late 2016, following the approval of Probuphine. ProNeura-ropinirole for Parkinson’s could provide a valuable treatment option for those suffering from this progressive disease. About 1 million people in the U.S. suffer from Parkinson’s and that number is expected to double by 2030 due to the aging population according to the Parkinson’s Disease Foundation. Dopamine agonist therapy, which is the current standard of care, is designed to replace dopamine in the brain in early-stage Parkinson’s patients, but it typically stops working efficiently after several years and contributes serious side effects. In fact, about one-third of treated patients develop motor response fluctuations and/or drug-induced dyskinesias within – about 3 to 5 years of treatment. Clinical and non-clinical research suggests that these motor side effects may arise from the pulsatile dopaminergic stimulation, resulting from current oral treatment modalities. In clinical studies, dopaminergic stimulation by continuous infusion has been shown to palliate these motor complications and also to delay or prevent the onset of dyskinesias for up to 1 year in Parkinson’s patients. The ProNeura drug delivery system can offer a simple way of providing around the clock stable levels of medication, such as a dopamine agonist like ropinirole in an outpatient setting. We believe that this has the potential to alleviate some of the motor complications and offer another option in treating Parkinson’s disease. We are also evaluating additional compounds used in the chronic treatment of select diseases and we are conducting initial non-clinical pharmacokinetic studies to identify a promising candidate to be added to the product pipeline later this year. And I will talk more about that at the next conference call. Now, I will turn the call back to Sunil. Sunil?
Sunil Bhonsle: Thank you, Kate. This brings us to the end of our formal remarks. And now, Lisa, we are ready to take questions from the call participants.
Operator: [Operator Instructions] We will take our first question from Scott Henry with ROTH Capital.
Scott Henry: Thank you and good afternoon.
Sunil Bhonsle: Hi Scott, welcome.
Kate Glassman-Beebe: Hi, Scott.
Scott Henry: Just a couple questions today. For starters, spending levels were down a little in second quarter versus first quarter, how should we think about second half of ‘15 on G&A and R&D, should we just think similar to the second quarter or will there be any filing related expenses coming into R&D?
Sunil Bhonsle: I would think it should be pretty similar to this quarter. It might be just a slight uptick. Yes, there are some expenses. Mostly that will be in the fourth quarter related to an IND – pre-IND meeting with the FDA. But the third quarter should be pretty much similar to the second quarter.
Scott Henry: Okay. And then shifting gears, you have got the Phase 3 data, the second Phase 3 data on Probuphine, about to file in the U.S. any thoughts on what you could do with that asset outside of the U.S. is this something you could partner, just any thoughts on that topic?
Sunil Bhonsle: That’s an excellent question, Scott. And I will have Kate mention a little more on this as well, but our goal is as we complete the NDA package for the FDA, we intend to take the same integrated information to regulatory agencies outside of specific countries like the UK, France, Australia, possibly. And there has been some interest from companies in these countries in understanding what the regulatory pathway for approval would be, so that they can establish certain value for partnering purposes. And that’s the sort of process we are following. And Kate?
Kate Glassman-Beebe: Yes. Just to add to what Sunil said, Scott, we are – and we have been exploring of the timing for discussion with ex-U.S. regulatory authorities. And we hope to initiate those discussions later this year and in first quarter of next year once the NDA has been resubmitted. And we will update you with further details when we have them.
Scott Henry: Okay, great. And I guess that’s really all the questions I have for now. Just good luck with the filing and we will look forward to that.
Sunil Bhonsle: Great. Well thanks, Scott.
Kate Glassman-Beebe: Thanks Scott.
Operator: [Operator Instructions] Now, I will turn the call back to Sunil Bhonsle.
Sunil Bhonsle: Thank you, Lisa. Thank you, everyone for participating in this call. This was an important quarter for Titan. And we look forward to working with Braeburn as Probuphine moves through the regulatory process. As importantly, we are very excited about the development of our other products based on our ProNeura technology and we appreciate your support. Thank you and speak with you again in another few months.
Operator: Ladies and gentlemen, that concludes today’s conference call. Thank you for your participation.